Operator: Good afternoon ladies and gentlemen. And welcome to today’s Proximus 2016 Q3 Results Conference Call. For your information, this conference is being recorded. At this time, I would like to turn the call over to Nancy Goossens, Director of Investor Relations. Please go ahead.
Nancy Goossens: Thank you. Good afternoon ladies and gentlemen and thank you for joining us during this conference call. I trust you have all received information that we sent out this morning have seen it on our website. We will keep for this call the usual formats, meaning that you will dedicate most of the available time to the Q&A. we will get to that after the CEO’s opening statement. Let me just first quickly introduce the participants on our side. So Dominique Leroy CEO; Sandrine Dufour, CFO; Philip Vandervoort, the Chief on the Consumer segment; Bart Van Den Meersche, Chief Enterprise segment; Geert Standaert, our CTO; and Daniel Kurgan, the CEO of BICS. They will take your questions just in a minute, but first I give the vote to Dominique. For her opening statements.
Dominique Leroy: Yes. Thank you, Nancy. And good afternoon, everyone and welcome again to our conference call. Let me start by commenting on the strong performance of our domestic business. I’m proud we could announce another domestic EBITDA growing by a solid 5.5%, especially since we are facing the impact of the rolling regulation and more intense competitive environment, not withstanding these, we kept our direct margin evolution positive. The third quarter, commercial drivers remains sound and fixed churn levels were below those of one [Indiscernible], our mobile base showed a good growth to with especially strong quarter for our enterprise segment. In the consumer segment, we continue to improve our customer mix, by sustaining our shifts to our more triple-play, quadruple-lay, offers, thereby increasing both the value and the loyalty of our customer base. This is a trend that we expect to push further strengthened by our new attractive all-in commercial partners Tuttimus and Bizz All-in that we just love it. While the positive direct margin is obviously supportive, the men contributor to the strong third quarter domestic EBITDA was a lower cost base. In line with our Fit for Growth strategy, we continued our transformation towards the more customer-focused, agile and efficient Company. The third quarter, domestic expenses and it’s 4.8% below the prior year, especially the work for expenses showed a strong improvement, albeit from a high comparable these in 2015. The work force expenses were down as a results of the activated early link plan prior to retirement with the first wave of participating employee having less Proximus on the 1st of July. Part of the benefit was however offset by an inflation based salary indexation applied as of July. For our international carrier services BICS, the third quarter EBITDA volume showed good improvement from the prior quarters driven by a good direct margin level. The domestic and BICS EBITDA combined let to a 4.7% increase of our underlying group EBITDA. Alongside, the high to reducing costs we also focused on maintaining their healthy free cash flow levels. This changes that we implemented our one small reflected in the lower cash needed for our business working capital related to receivables and payables. These combined with the growth underlying EBITDA resulted in a good year-to-date free cash flow of €565 million. With these solid results achieved so far, we have reached our underlying growth EBITDA outlook for the year to a growth of 3% to 4%. For the domestic revenue, we reiterate our expectation to end the year 2016 with a slight growth. We also reiterate our expectation to end 2016 with around €950 million CapEx. This was for me the final point I wanted to make and I'm therefore very happy to answer your questions. Thank you.
Operator: Thank you. [Operator Instructions] We have a first question from Stephane Beyazian of Raymond James.
Stephane Beyazian: Could you elaborate a little bit on the enterprise market I think there were some comments in the slides that there is a little more competition in the market and I can see that your ARPU and mobile services are probably 300 basis points lower. But I would be surprised that this not reflecting to roaming impact in a while and I can that the trend is softer actually low lying losses were bit better this quarter and the ARPU is still growing. So can you elaborate a little bit on the sort of comment of potential increase competition in the enterprise market and any source behind the competition? And if I may ask a second question, regarding the cost efficiencies, I think it's very clear the improvement we have seen in the workforce, but can you elaborate also on the non-staff efficiencies plan, where you spent today on the savings that you have planned for the next two years?
Bart Van Den Meersche: So, for your question on the enterprise markets, it's not a surprise that we have seen more competition as we already announced from the beginning it's our competitors who clearly announced that they - I think the enterprise markets. And [indiscernible] said they were going to target the enterprise markets and so that's something we see. But when you refer to the mobile services there the most important impact is still the roaming regulation impacts and linked to that also the change to travel behavior due to the [indiscernible] threats. I mean less people traveling and those who travel stay within the Europe, but the third element is indeed an increased competition that we see coming up and that we see in several cases customer cases.
Dominique Leroy: Again on your second question regarding the non-workforce cost I think what we can say we are executing our cost reduction plan all over the company and maintaining our ambition that was announced back in February of delivering net €100 million decrease in terms of total cost decrease. And then where it being felt in company is all which regards efficiency simplification, decrease of the outsourcing course, distribution and alike so we would not details for you all the actions, but it's really being felt throughout all the customer and non-workforce customer company.
Stephane Beyazian: If I may just follow-up, in terms of impacts should we see a let the step up in the benefits from these excellent in the next quarter or can we have a sense of the saving of the improvement?
Dominique Leroy: And maybe I just coming back from highlighting the third quarter performance specifically and their workforce cost. You should have in mind that the 2016 workforce costs was high level that attributed from HR provision so the year-over-year quarter comparison is being helped by this certainly in terms of getting the benefit of the early lease plan. As we move forward we will see that the benefits are being recorded in the company and we have [FTE] (Ph) decreased combined both the ELP and the pension number which is going to be impacting as well the decrease of our customers in Q4.
Stephane Beyazian: Thank you.
Operator: Thank you. The next question is from Ruben Devos of KBC Securities.
Ruben Devos: Two questions please. The first one to come back on the enterprise segments also the ARPUs for the broad land have somewhat declines as the price increases effect of last year sort of annualized the press release also speaks of out phasing of legacy products and more attractive pricing for customers. So should we bear in mind going forward that there will be further re-pricing of back booklets or more pressure, because you had competition intensifying. Then the second question on the corporate tax in, so in search of the fair tax system the Belgium government is proposed to bring down the corporate tax rate to initially 20% I believe and then later they said 23%. And so I was wondering what should take on this developments and would be in favor to such a reduction given that's possibly the no show interest deduction and excess profit rulings would be polished? Thank you.
Bart Van Den Meersche: For your question on the enterprise broadband it is indeed so that the ARPU year-over-year it's still declining although quarter-after-quarter we see a slide improvement and that is indeed the year-over-year is indeed driven by mainly driven by an out phasing of all so legacy profits. This is going on so we bring our customers to more attractive prices this is still going on we have also this in the next quarter still have it still have an impact.
Dominique Leroy: And on your question on corporate tax so it's true that there is currently a proposal to entering the new income tax regime with the decrease of corporate tax on the Belgium market. This is going to be debated so it's definitely not a from deal that has being in acted yet, and the latest corporate income tax rate there has been discussed or any decreasing the current 33.99% down to 23% in 2019. But for global mutual impact for the Belgium government, which means that this will be compensated by the new elimination of existing regime such as the no showing interest deduction. So if what is today on the payroll on again not in acted yet is different place and we look at today's components of our tax rate what we can say in our assumptions today is that the corporate taxes of Proximus would rose I would say close to the new statutory rate in the future. Which means that we could trend towards the 23% in 2019, which is of course once again is it connected and which is much better than what we would have had at this tax, a new tax is not being passed in Belgium. Because of the firm’s favorable tax rate that we have in 2016 benefit from one-off in this quarter and benefits from deduction that we know will be reduced over the next years.
Ruben Devos: Okay. If you could just give an update on the excess profit tax ruling concerning BICS as possible?
Dominique Leroy: Right. So on this one really, what firstly be the event in the quarters we have put some cash in this in July, which is exactly in the month that have been provided in our books. So that we are paying the excess profit too, we are just awaiting the final I would say modality of the recovery of this LH aid. And that we think should be published before the year end and that in parallel I think we still are fighting for the amendment of the stated decision of the European commission actually BICS has filed this application and the commission has extended the case. So this will be also debated over the next week. So in the end no impact on our P&L and cash out in the quarter in the tune of €24 million, €25 million.
Bart Van Den Meersche: And this is Bart again, maybe just coming back on your first question. What I forgot to mention is next to the outpacing of the legacy products. It’s of course so that we are now more and more rolling out fiber towards enterprise customers, so that should have a positive impact of course in this contest.
Ruben Devos: All right. Thank you.
Operator: Thank you. The next question is from Luis Prota of Morgan Stanley.
Luis Prota: Yes, hello thank you for taking my questions. I have two questions please, first of all I would like to understand the market dynamics differences between the Flinders and Bologna and more specifically on Orange, Belgium convergent proposition. And whether you are seeing or you are expecting that they might have a bigger impact in Bologna but in Flinders. And the reason to ask you is obviously because Proximus’ market share is higher in Bologna and Orange might be benefiting from its French nature on the one side, but also from Voo being less integrated player than Telenet and therefore allowing them to gain critical mass in this thing. So I would like to understand that the difference in the competitive dynamics there and whether we should take into consideration some higher risk in Bologna. The second question is on regulation and you were giving the impact for 2016 been €28 million. I wonder if you are able to give us already the expectations for 2017 and also whether there is any material impact from the reduction in fixed interconnection rates? Thank you.
Phillip Vandervoort: This is Phillip. On your first question in the market dynamics, Flinders and Bologna it is true that Belgium is quite specific country with the north and the south where economic realities are different north and south competition is different north and south, demographics are different north and south, and the product and price perceptions are different north and south. Deriving from that that there could be a bigger impact in the south then in the north from our Orange conversions offer, we don't have any data to suggest that at all at this point in time.
Dominique Leroy: And the other question on regulation, what we can say for 2017 is that we expect the roaming impact will be bigger than what we had 2016. The reason being that we will have six months of no revenue attached to a international or European roaming, as we have higher COGS, because as we see traffic is growing and so this will have a higher impact when you add the full months of comparison of the first with [indiscernible] impact. So, all in all we expect to have to see a higher number next year, it’s a little bit too early to give you a precise estimation as we are working on our budget for 2017. As for the FTR, the fixed termination rate, we are expect this having as well an impact which we think to be bit lower than I think it's less than 1 million a month. So, we will have the first two months negative impact this year and an extra 10 months for variance, that places them 1 million a month for the full termination rate. And that'll give you an idea.
Operator: The next question is from Matthijs Van Leijenhorst of Kepler Cheuvreux.
Matthijs Van Leijenhorst: First question on the free cash flow, you saw quite a step up in free cash flow in the third quarter, can you give some color, what is your expectations are for Q4 and specifically mentioning the working capital et cetera. The second question is and although it might be early days, can you give any color on the launch of your corporate proposition, Tuttimus? Thanks.
Dominique Leroy: So, on free cash flow, so you have seen that we have been able to I think structure it into the business working capital in all dimension, we are working on account receivable, account payable and managing inventories to the best we can do, so I think it's a step change. As for Q4, it's typically a seasonal impact but Q4 is a high cash out quarter like it was last year for all different series of reason. So, in terms of seasonality we should not expect to see different from last year, that's Q4 cash flow is close to zero when you remove the exceptional impact of the settlement that we paid. So, we don't see it happening different for this quarter.
Phillip Vandervoort: So, Tuttimus, it's of course early days, but as Dominique said we are continuing our conversion strategy to drive loyalty and value at our customers. So that results in more services for household and accelerating the 4P strategy and increasing the RGU per households. So fully in line with our conversion strategy. We also introduced the Tuttimus a more-for-more approach in the Belgium market. And it drives stimulation because it is a very free offer and on calling we have closed user group functionality. So we think we are addressing all the needs of our customers. Now as I said its early day so what we see is the high impact on the market where we saw a website visits were - traffic by composer increase with 300% more, if we look at our Pokemon GO campaign that we were driven online the 100% during the summer. If you compare that activity on the web with what we see during Tuttimus launch. The Tuttimus launch was even 25% higher than what we saw during the Pokemon GO campaign. Front office sales is very busy our call centers are very busy, so globally we can say that we are very satisfied also from the feedback in the market be that the customers, the analyst or our employees and the sales agents. But as I said after 10 basis way to early call the commercial success we observe good volume migrations, we observe good RGU increases, and we observe good attach rates and what we see in the market so far.
Matthijs Van Leijenhorst: Fair. Thank you.
Operator: Thank you. The next question is from Michael Bishop of Goldman Sachs.
Michael Bishop: Just two questions, please. Firstly, following on from your explanation around free cash flow and then even if you don’t do any material cash flow in the fourth quarter clearly you will be tracking ahead of prior years and in excess of the dividend payments based on your guidance. So can I just get your latest thoughts on what you would do with excess cash, would you seek to return it to shareholders or do you think it's better spend it's so potentially increasing CapEx levels on things like fiber. And then more broadly you mentioned the new tariffs we design with us and more for more strategy in place. And if you look at all the pricing changes in the Belgium market but we have seen over the last couple of months would you say that broadly speaking the tariffs in mobile now are much better structured to allow customers to spin-up from just to €15 to one and 1.5 gigabyte usage levels to tariffs and therefore more broadly all the news that are accretive for the market.
Dominique Leroy: On the first question well in terms of dividend I think we have announced our policy for this year and we are not changing and it's much too early to discuss about the policy as well have this conversation with our boards first before the year-end. And so and we stick to what we said as well in terms of the CapEx program for the year. So we have confirm the guidance to [€916] (Ph) million of CapEx this year including as the acceleration of fiber to the business that result plant improvement.
Bart Van Den Meersche: So the more for more strategy drives price exactly what you are mentioning are on the mobile sites specifically we think that with including the free app for a mobile customer that will insight the consumption of data on the free app and then of course to spin-offs of those apps. And I can give you one example on that if you select Facebook as your free app, your YouTube videos so all your specified songs will not be added to bundle but will in the bundle. So we think we will stimulate adjacent consumption of data with that. As from our setting up approach that is still fully inline to their convergence approach so where you go from the mobile is small, mobile is medium or mobile it is large a first step in between would be to bring our mobiles in your Tuttimus pack so that you get extra data. And then the next would be to move from a small to a medium. We think it’s very rationale and we think it’s rise our conversion strategy to drive loyalty and value.
Matthijs Van Leijenhorst: Thanks. If I could just follow-up on the free cash flow question, I mean setting CapEx aside is the policy still to return excess free cash flow to maintain one times leverage or does that have to be decided by the board again, because I felt that was an ongoing policy?
Dominique Leroy: Yes, I would like to answer on this question. I think [Indiscernible] indeed through return to the shareholder most of our free cash flow, but of course the free cash flow is depending on the EBITDA and CapEx. So for the time being, we have not decided yet, what will be the CapEx level for the years to come. We are doing acceleration for business, we have to see what other type of the programs will be there and so for the time being the fixed dividend policy that we have had for the last for you, which is one and half. You know that we will this year and it’s way too early to give an indication for the year to come. We will do that with the board in December and we do results in February.
Matthijs Van Leijenhorst: Okay. Thanks very much.
Operator: The next question is from Emmanuel Carlier of ING.
Emmanuel Carlier: Yes, hi. Two questions from my side, one on the CapEx 2017. So I can understand that you can get guidance, but I think it’s general trends that in some countries at least that people tried to do the upgrades by et cetera and not really by a fiber. Could you just provide an update on that? And then secondly, if I look at EBITDA moving towards 2017, I just would like to hear the big drivers you see that’s determined the level of EBITDA growth. I think cost savings mix increased competition and regulation or do you see any other elements that will have a big impact? Thank you.
Dominique Leroy: Okay. So concerning the CapEx, think what we have decided so far on CapEx is that we indeed continued to do simplification program to do our network program, which mainly factoring for the consumer and fiber for the fiber to the business. We are currently doing a first test on what we call [indiscernible] fiber to the home, which is [Indiscernible] where we replace copper by fiber for homes. Very much depending on how that it’s working in terms of uptick, in terms of first we will review our strategy for fiber, but today, there is absolutely no decision taken to do any rollout of fiber to the home what we do is fiber for Greenfield factoring for residential and fiber for the business and we will see. We hear also in where there is a lot of debate on that for the time being we see that for consumer usage but of course we are also looking it to rise. But is too early to see any guidance on this. What is probably for – is that the CapEx will not decrease in 2017, that we have also said that we see today that the strategy where we have invested more in our network and in our customer service is working, because we are able to attract more customers. We are able to grow our revenue and that to with our Fit for Growth strategy on the cost structure has enabled us to growth EBITDA over the last one year and three quarter. So in that sense I think that’s strategy that is working and normally we should stick to our working strategy. Concerning EBITDA 2017 I think you have said it all I think the main the big drivers will be the launch of Tuttimus and Bizz All-in and how are we able to continue to drive customer acquisition, are we able to continue to drive customer retention, loyalty and up sell on the quadruple-lay. We know there is very much value are credited. So we will certainly pursue them. I think on enterprise it's very much how can we move our enterprise business to the latest technology being very much fiber and all the value added products that goes with that and that compensates for still some legacy projects that we need to phase out. The big impact that we will head in 2017 will be a regulation impact, which will be significantly higher than the one we have had for this year and that's because of roaming and then because of fixed termination rate. And that will probably be the main headwind that we will see in 2017 because on the other side we have seen that we have right strategy to be able to face competition and still grow value for our customers in both segments. BICS we will normally be able to further develop product portfolio more based on mobile data versus voice and in that sense should normally be less value negative than this year because this year was of course a big comparison with a very high 2016, I think the 2016 results are more in line with regular business. And so we should see less effect of BICS on next year. But we will continue to invest to move the BICS portfolio from voice towards data and that will still require some investments in development of new products. So a lot of elements that all needs to come together and that we will provide with guidance on all those elements when we will give our results of this year.
Operator: Thank you. The next question is from Guy Peddy of Macquarie.
Guy Peddy: Good afternoon everybody. Just following on for net CapEx sort of fiber to chat, you have alluded to the fact that we should achieve at least flat CapEx next year, but given you are now doing the fiber trials to the home and it's inevitable you are going to do that. When do you think you will be a position to - are we going to have to wait for your full-year results for all your CapEx guidance for next year or do you think it will begun to come out with a date earlier and that given the way your trails are going?
Dominique Leroy: I mean we will anyhow come with results in February, if we have some big evidence before I mean it could be that we get some evidence before, but for the time being nothing explained, and we foresee to give guidance on revenue, EBITDA, CapEx and dividends when we give our results end of [indiscernible] next year.
Guy Peddy: If I could ask you another way the trails [indiscernible] doing and when do you expect to as you get a result from that trail, is it something that's imminent or ongoing now, or is it something that we are still sort of six months away from actually getting evidence from them?
Dominique Leroy: No, I think the trail we are doing now gives us good evidence in terms of cost I mean how can we deploy fiber, what are the costs associated to it, is the technology that we use the right one, so I think that's something we will be able to have this year. what is probably more of a question mark what will be the traction from the customer, will we be to get more market share up sell and there we will need some more time. So in that sense we will have part of the answer this year but we need to see longer term the customer traction which is of course also quite important.
Guy Peddy: Thank you.
Operator: Thank you. The next question is from [Indiscernible].
Unidentified Analyst: A follow-up also on the CapEx. Is this CapEx at least stable 2017 is there good reason to assume that we should see a material difference in the breakdown of CapEx meaningless mobile perhaps more Brownfield to the home or anything else that's first. And then second Telenet that this opportunity and it's WIGO are first to get the sim cards included in the offer. As such while for Proximus we have two new declines have to pay on top we have seen the big gross assets from Telenet that in last quarter thanks to this. Are they taking market share from individual sim card owners and families from Proximus are do you believe they mainly are addressing a new market for example tablets that did not have a sim card before or something like that? Thank you.
Dominique Leroy: On the CapEx I think I will give you very high level out one because we need to go into much detail but it's true that we will shift the CapEx and globe towards in bit more fiber to the business. And we will take that mainly from mobile where we have finalized the roll out of 4G and we have already done quite a bit on 4G plus and so in that sense we will any how reallocate some element of CapEx towards more fiber to the business?
Philip Vandervoort: So WIGO it is indeed true that WIGO has two sim card offer or a five sim card offer it is however, not entirely true that for Proximus customers the customer have to pay the sim cards stock [Indiscernible] is by default one mobile included. At Telenet and WIGO you share the data and our marketing size ship that sharing data is not something that the customers prefer, because they don’t like to being front of surprises at the end of the months where one member of the family has consumed most of the data. That's why we have a buildup of card with its own large amount of data into Tuttimus pack [indiscernible]. And then people and the customers families can add one, two, three, four sim cards and top-up that their own data when they bring a mobile in the pack the get on top of it the additional bonus data to bring them into pack. So that is our approach there if you look at average amount of revenue generating units in families we think that two cards is reasonable but we think also that five cards is little bit over dual will they end up in some of the tablets probably they will they might that's hard to tell from here. But five cards being consumed in a family is a large amount I think from any measure. So whether those cards end-up in tablets we don’t know but at this point in time is attracting indeed standalone mobiles there fixed customers.
Unidentified Analyst: Okay. Thank you.
Operator: The next question is from [Indiscernible] of JP Morgan.
Unidentified Analyst: Good afternoon. I have two questions please. Firstly, it looks like there [Indiscernible] take a closer look at the maximum strategy aspect of the new mobile offers announced last week. It should be helpful to hear your thoughts on this. And my second question is on HR provisions and it looks like HR cost have been impacted to certain extent by provision savings. Could you quantify how much was impacting the quarter please? Thank you very much.
Philip Vandervoort: So is not 100% clear the first part of your question are you assumed it has been…
Unidentified Analyst: So in the new offers a level of unlimited data usage for Twitter, Facebook and a number of apps and the Belgium government has asked the regulator to look at the aspect of this unlimited data plans. So I wanted to ask about your thoughts on this?
Dominique Leroy: So, I will answer this question, I think unlimited usage of a free app is fully in line with net neutrality, we have of course check that fully before launching the product. The only limitation that you have is when your bundle has been consumed you are not able to continue to give the free app for free. And that’s currently fully foreseen in our project so you can consume unlimitedly your free at as long as you had still some data available in your bundle. The day you don’t have any data available in your bundle, you are not able to continue to use the free apps. And because of that the offering is completely in line with net neutrality. We are very much confident in that discussion with regulators still needs to happen, but we have absolutely no fear that we will have any issue on that one. On your question on the HR provision I’m not planning to go into too much details here, but I think that you can assess the benefits that the early lease plan is providing in our number, because we gave the decrease of the FTE on the one side. I mean how you should had in line that we were penalized at the beginning of July by the wage indexation 2% growth. So there is a net impact of decreasing FTE increase in the average wage. And you can also look at how our Q3 2016 look compared to the previous quarter in the total work force cost to help you get an answer to your question?
Operator: Thank you. The next question is from [Indiscernible] of Deutsche Bank.
Unidentified Analyst: Hi, good afternoon. One quick question from me please. Just regarding your commitments to rolling out fiber to the business parks. Given the I guess increased competitive environment in the enterprise business and has gone under pressure, how you think about that now do it as a increase the rate in which we always have decrease and gave us an idea at the level of interest for the full fiber product from corporate? Thank you.
Bart Van Den Meersche: This as I mentioned couple of questions go, the intention to rollup fiber to the business, because there is a clear demand. So we our customers have higher benefit more and more which coming up cloud, video conferencing [indiscernible] there is a clear needs in the markets and of course we'll try to link that to up sell in the market against the current connectivity that they have.
Unidentified Analyst: I'm sorry and I guess now you saw maybe increased competition in the arena, are customers or corporate who have suggested an interest now wavered maybe or coming back in asking for better pricing or are you seeing any dynamics on that please?
Bart Van Den Meersche: No, there isn't increased competition and so you see cable coming up also in the enterprise but what we clearly see is when we talk to our customers there is a clear interest for fiber and we see more and more customers choosing for fiber already now because they need it now and not in the future.
Dominique Leroy: I can complement because I mean there are a lot of questions on competition on enterprise, I think there is been a lot of declaration from our competitor that they want to enter into the enterprising corporate markets. It is not that easy to enter in corporate market I mean there are a lot of products that you need to have, corporate market is not just about connectivity, it's also about managed services, it's also about platform, it's about service, it's about having the right account management to do that. So, I'm pretty confident that it is not tomorrow that we will see results trends in terms of competition in the corporate market because you really need to have a lot of knowhow to get there. Fiber has been decided by us not because of competition but mainly, because we see more and more demand from enterprise customer that put more and more of the application in the clouds and if you have application in the cloud you need high level of capacity, you need to know latency to be able to work easily and that's mainly the reason why we pushed fiber. Another element where fiber is very important is when you've more and more video communication you also there need to have a quite important capacity line to do that. So, I think fiber to the business has been a decision that has been taken based on the evolution of the way the working of corporation and is very an answer to the customer needs. It's not an answer to competition. Competition is there, of course it's a markets where lot of people wants to enter, it is not that easy to have a compelling service for enterprises. You need critical mass, you need the right people, and you need the right delivery and service system and I think we have this and I'm not sure all our competitors have it.
Unidentified Analyst: Okay, very clear. Thank you.
Philip Vandervoort: Maybe to add one thing to your question and that has more to do with the technical rollouts on itself. When we did our fibers to the [indiscernible] project , of course we brought a lot of assets already into the ground. It means that now for the fibers to the business rollout we are reusing maximally those assets in place so we have already a lot of optical fiber points in the country and we also have a lot of ducting that we did in the past that we are reusing. This of course in order to reduce the [indiscernible] component in our rollout plan.
Operator: Thank you. [Operator Instructions] The next question is from Vikram Karnany of UBS.
Vikram Karnany: I've two questions please, first thing the consumer fixed voice revenue, this trend seem to slightly deteriorate despite the price adjustments that you've made in July, can you elaborate the dynamics and how should we think about the KPIs and financials over here going forward? Secondly in terms of data usage, sequential growth if I look at of the 4G customers it's still quite low at 2% quarter-on-quarter is even lagging behind orange Belgium in the third quarter despite lower data consumption overall which we see in Belgium and you are flagging your related better network quality. I was wondering how are you planning to drive the data usage in the network going forward? Thanks.
Philip Vandervoort: So on fix policy decline are decline is in line with the market decline and we are observing in that true erosion of the installed base like we have been repeating in previous calls. Without Tuttimus offer and we expect to limit our fixed line erodes and as I highlighted in the first observations on the Tuttimus launch we see very strong attach of the fixed line again. On data usage we have revamped our smart mobile offering to mobiles to small, medium and large in which we give the access to a free application that can be selected by every single customer. And as we said the adjacent and the data that is driven or a data consumption that will be driven through that app adjacently to the app itself will definitely drive data consumption. What we do see also is an impressive increase of data consumption of our customers and that is actually a growing very fast and you also see our ARPU bundle increasing. So we think we are on a good track to drive that increase of data usage through those sides initiatives.
Operator: Thank you. The next question is from Paul Sidney of Credit Suisse.
Paul Sidney: Thank you very much. Just really one point of clarification bringing together and there is a lot of answers you given on the new tariffs but can I just check what you are expecting are you taking the new tariffs to drive and cortile revenue per household up or standalone mobile ARPU up or is it both? Is that what you are expecting from the move to the new tariffs? Thank you.
Bart Van Den Meersche: Underlying our convergence strategies indeed loyalty and value we see as I mentioned in the first synopsis of how Tuttimus is going but indeed revenue generating units be that mobile or fixed are being added to the triple-play or to the quadruple-lay. We see more mobiles being integrated in the quadruple-lay pack. so we see the number of RGUs per household increase. Going back and then the answer to your question on drive to mobile ARPU up that is I think linked very much to what we discussed in the previous question and that's about the data monetization. So yes it's yes on your first question as yes on the second question, but our approach is to drive a maximum amount of people of families to our converging quadruple-lay peak offer, because that drives loyalty, that drives value that reduces churn and that adds revenue generating units in the packs so it’s clearly a more for more approach there.
Paul Sidney: Okay, so it's more about growing the value of that customer over that that the life of the that the customer essentially.
Bart Van Den Meersche: The value and the loyalty if we can reduce churn by bundling all the services of one family into one conversion to the most offer and that drives the churn to massively done and the value up.
Paul Sidney: Okay. Thank you very much.
Operator: The next question is from [Indiscernible] of Berenberg.
Unidentified Analyst: Hello, hi, thank you for taking my questions. I actually I only have a one question, I’m just looking at the consumer broadband net additions and the TV ads. It seems that the net additions softened a bit during the recent quarters and if we look at what is reported by Orange Bologna and the Telenet. The broadband net adds also seems to have come down little bit. And I was just wondering whether you can comment on the total market structure in consumer broadband and a TV what did you see the market continued to for a health growth. All you think that’s you actually reached a level that we could see the growth that show more right a little bit going forward? Thank you.
Philip Vandervoort: Well what we can see is on the fixed side, the advance still performs very well and we see that our market share growth on fixed data and digital TV. On digital TV, I need to check the numbers, but I think we have four quarters in a row that on digital TV we are gaining market share against the Telenet. So I mean softening is relative. Our churn levels with specific actions that we have taken are very okay on fixed and digital TV and we see a very positive evolution on the high end - that is sustained also with our Tuttimus launch. And as I said the softening of the market might be the case, but we do see market share growth for TV and broadband.
Unidentified Analyst: Thank you very much.
Operator: Thank you. We have a follow-up question of Emmanuel Carlier of ING.
Emmanuel Carlier: Yes, hi. One question on table regulation. So if I missed I think one of the barriers has been taken away by Belgium in the last couple of minutes. Could you just get us on the kind of customer losses you have witnessed and then you see any acceleration or is it just pretty stable in the last couple of months? Thank you.
Dominique Leroy: So you refer to the segment launch as suppressed ones, of course that they asked move it on Proximus to them. I mean to be honest we don’t see any impact from the. It’s probably also reflect you can just say that growth gain relatively limited, they have done 7,000 gross gain. I think they will take it much more from cable then from us because we are continuing to drive significantly our market share in broadband. We have 14,000 new customers [indiscernible] probably more, because I mean their number of new broadband has lowered the launch. So far we don’t see any big impact or any material impact of the overall launch on our Internet. On the contrary we see our Internet churn level has decreased quite significantly over this summer. So I seen there, all the initiatives we have taken to increase the quality of our Internet to move people to latest decoder set-top box having the positive impact on our trend. So we don’t feel very much the orange launch so far I would say.
Operator: Thank you. We have another follow-up question from [Indiscernible] of Berenberg.
Unidentified Analyst: Hello. Thank you for taking the question again. I just want to follow-up on the previous comments on the softening in the overall market growth, I'm just thinking when I look at the overall residential penetration in Belgium it seems 68% that looks lower than the EU average of 80% and would you be able to share the reason behind the softening market growth?
Philip Vandervoort: Well the softening market growth is relative I mean if you look at the digital TV, the market is growing with 3%, it's driving that penetration that there is still opportunity to drive that penetration further in that market and that's the same on the internet side. Also there is volume of the market is growing at 3%, so it's not necessarily softening as such. It is growing steadily and in that market we are gaining steadily market share and we are reducing our churn. So not sure where the softening comes from, but it's not the penetration that you have seen in the country. That is correct.
Unidentified Analyst: Okay. Thank you very much.
Operator: Thank you. We currently have no further questions.
Nancy Goossens: Okay, thank you I think we can close the call then. Thank you very much. If there would be any follow-up questions, you can contact the Investor Relations team. Thank you.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may now disconnect.